Operator: Good morning, and welcome to the Consolidated Water Company's Fourth Quarter 2014 Operating Results Conference Call. All participants will be in listen-only mode. [Operator Instructions] This conference call may include statements that may constitute forward-looking statements, usually containing the words believe, estimate, project, intend, expect, or similar expressions. These statements are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Forward-looking statements inherently involve risks and uncertainties that could cause actual results to differ materially from the forward-looking statements. Factors that would cause or contribute to such differences include, but are not limited to, continued acceptance of the Company's products and services in the marketplace, changes in its relationship with the governments of the jurisdictions in which it operates, the ability to successfully secure contracts for water projects in other countries, the ability to develop and operate such projects profitably and other risks detailed in the Company's periodic report filings with the Securities and Exchange Commission. By making these forward-looking statements, the Company undertakes no obligation to update these statements for revisions or changes after the date of this conference call. Please note, this event is being recorded. I would now like to turn the conference over to Rick McTaggart. Please go ahead.
Frederick McTaggart : Thank you, Chad and good morning, ladies and gentlemen. Thank you for joining us on the call this morning. Mr. David Sasnett, our CFO is also with me today in our Florida office. Our full year earnings in 2014 were adversely impacted by essentially three items. First, the non-cash impairment charge on our investment in Ocean Conversion BVI of $860,000 in the fourth quarter. Secondly, one-time legal expenses relating to our Cayman Islands utility license judicial review proceedings of approximately $380,000 in the second quarter and finally an increase in development expenses related to our 100 million gallon per day seawater desalination plant in Rosarito, Baja California, Mexico. And those increases were approximately $540,000, which was attributed to a one-time payment in the first quarter of $1 million to buyout one of our former partners. Altogether, these expense variances accounted for almost $1.8 million in non-core business expense variances during the past year and you should note that in the year, we spent $3.7 million and in 2013, $3.16 million on discretionary expenses, specifically related to pursuing the Mexico project. If you add back these non-core business expenses to our net income, we showed a very healthy profit – continuing healthy profit in our core businesses. The remaining variance in earnings in 2014 compared to 2013 approximated a slight drop in our gross profit due to changing water sales trends in the Cayman Islands and Bahamas operations. Our 2014 consolidated core business gross profit decreased slightly by approximately $400,000 and that was specifically due to lower revenues in our Bahamas bulk operation, which were partially offset by a 5% increase in revenues in our Cayman Islands retail business. Retail water revenues increased by 5% in 2014 compared to 2013 on higher volume sales and this reversed to recent declining sales trend. We believe that these higher volume sales can be attributed to higher numbers of tours visitors which increased by almost 11% per air arrivals and 17% per crew ship arrivals in 2014 compared to 2013. Although revenues were up in our retail business in 2014, our gross profit remained essentially flat and this was due to higher maintenance expenses primarily resulting from work that we undertook both internally and with specialty contractors to identify some illusive water leaks in our Grand Cayman water distribution system. This project was very successful and has reduced our water losses and those associated costs which we expect will positively impact the future performance of our retail business segment. Looking forward, in our retail business, the 263 room Kempton Hotel is expected to open late next year within our exclusive Seven Mile Beach Grand Cayman utility franchise area. And I also reported in November that at least two other hotel developments were announced in late 2014, the first being the redevelopment of the old Hyatt Hotel property into a 224 room hotel and conference center and a new Five Star hotel development across from the 500 acre Camana Bay Development on Seven Mile Beach. So we believe that these new property developments and their expected incremental water demand as well as the increasing trend in tourism visitors bodes well for our retail segment performance in future. We noted in our recent 10-K that our Cayman utility license was extended to June 30 of this year in order to allow the government and ourselves to conclude negotiations for a new utility license. We also noted that we wrote the Cayman Islands Minister of Water this past November and confirmed that we are prepared to recommence license negotiation on the basis of their proposed rate cap adjustment mechanism license and we are waiting a response from the Minister at this time. Now looking at our Bulk segment, revenues declined by about $800,000 in 2014 compared to the previous year and this resulted from a $2.5 million decline in our Bahamas revenues that were partially offset by an increase of $1.7 million in our Cayman Islands Bulk revenues. So if we look at the deeper end of that, the Bahamas variance resulted from a decrease and the number of gallons sold to our customer the Water and Sewage Corporation due to WSC’s successful leak detection and repair program in Nassau and the increase in the Cayman Islands Bulk sales was due to a temporary closing of one of the water authorities’ desalination plants on Grand Cayman for refurbishment as well as some general growth in the water authority’s sales. As a result of this, net Bulk segment revenues declined – sorry - as a result of the net decline in revenues in the Bulk segment, gross profit from our Bulk segment declined slightly by $400,000 year-over-year. So, while on the surface, the Bahamas numbers may raise some concerns for our business, if you look at the deeper, we do see some very positive developments. The WSC had been losing water – losing about 50% of the water that we provided and they get from other sources through leaks in their distribution system and there is significant cost for wasted water, no doubt, it was a big factor in WSC’s prior financial problems and ultimately resulted in delayed invoice payments to us. As these water losses have been reduced, overall water service in Nassau has improved and there is now more water available for new customers and if we look at who these potential new customers could be, WSC’s figures indicate that they only have about a 30% coverage of the 300,000 plus people in Nassau. The bulk of the people in Nassau actually get water from other sources such as wells. So there is a tremendous potential to increase sales by connecting new customers which would be attracted by the improving service in Nassau. In addition, WSC signed an agreement to supply water to the Baha Mar development which is nearing completion in May. Baha Mar is actually very impressive to look at, it’s a huge development. This $3.5 billion development on a 1000 acres is the largest resort property in the Caribbean and it’s comprised of more than 2200 hotel rooms, 200,000 square foot convention center, world-class casinos and more than 50 restaurants, bars and clubs, as well as 18 hole golf course. We expect this new water demand from Baha Mar as well as the new demand from customers that are currently not connected to WSC’s water system in Nassau to positively impact future performance of our Bahamas business. We strongly believe that our customers’ success in converting longstanding water and financial losses into new customer sales is closely linked to our own success in the Bahamas. Now looking at Services, revenues from our Services segment increased by about $1.4 million in 2014 compared to 2013 due to the Lower Valley Plant refurbishment project that we are currently undertaking for the water authority in Grand Cayman. We expect that this project will be completed in the second quarter of this year. Services segment continued to incur an operating loss which was higher in 2014 due to development activities of our 100 million gallon per day seawater desalination plant project in Rosarito, Baja California. Now I’d like to let David talk a bit about the BVI situation.
David Sasnett: Well, this year, we took an $860,000 impairment charge against the carrying value of our equity investment in OCBVI. We purchased this investment more than 10 years ago as part of an acquisition. And at that time we recorded purchase price on our balance sheet and included in that purchase price an amount in excess of the underlying net book value of OCBVI which really constituted goodwill. As this investment has matured and as the contracts that OCBVI has with the government at Mar Bay matures, you have a declining expected cash flow from the investment. So under US Generally Accepted Accounting Principles, equally we value the fair value of this investment and obviously it was a declining expected cash flow from this investment, its expected fair value declines as well. So last year and again in 2014, we took impairment charges on this investment based upon our estimates going forward for the cash flow that we would derive from this investment. As the Mar Bay contract matures, the expected cash flows declines, so obviously the fair value of our investment declines and we have been recording impairment charges. We have fully disclosed in our 10-K that OCBVI does not manage to extend its contracted Mar Bay or gain a new contract, then we will also – we have to write-off this excess, because the fair value of our investment in OCBVI will decline as you know, something because the company has no longer has cash flow stream from this contract. But, for some reason, and we are hopeful of this, this prospect, OCBVI can negotiate a new contract then we would bring evaluate the expected cash flows from that investment and perhaps the impairment charge would be changed or delayed. So at this point in time, we don’t know exactly how it’s going to turn out, but using our best estimates, we have estimated there will be declining cash flows from this investment. I want to point out however, this essentially has no impact on our cash flows and it’s a write-off of an amount we’ve recorded in earlier years based upon the original valuation of this investment. It does not have an impact in our core business.
Frederick McTaggart : Thank you, David. Now looking at projects that are underway. As previously reported, we had some very positive developments in 2014 in relation to our Mexican projects. In August last year, the government of Baja California Mexico enacted new legislation called the Law of Public Private Association which created a framework for companies to submit unsolicited proposals to the state and its associated agencies to provide essential infrastructure and other services such as our desalination plant. Prior to this legislation, the state would have been required to conduct its own studies and prepare bid documents for public tender if it determine that it wish to proceed with a particular project. However, under the new legislation, the project sponsors such as N.S.C. Agua is required to conduct certain social impact and technical studies which are then presented to the state on an unsolicited basis and evaluated. If the state then decides that a project is necessary, and provides a certain level of social benefit to the population, then it will proceed to the tender stage and invite other parties as well as the project sponsor to bid for the project. So, this new legislation and the bid evaluation procedures provides certain material advantages to the project sponsor for in exchange for taking the risk of developing the project on its own and it also rewards bidders fro including substantial Baja California ownership in the project company. In January 2015, the Government of Baja California officially accepted our initial expression of interest to build a desalination plant and conveyance pipeline at the Rosarito under the new law and assets to develop and submit a detailed proposal which we are currently preparing. And in February, in order to enhance our chances of successfully completing the project we partnered with a group of companies with substantial resources and a history of successful projects and investments in Mexico. Also in February, we received the approved environmental permit for the desalination plant from the Mexican Environmental Authority as well as confirmation from the City of Rosarito that our application to rezone the project site for industrial use was approved. We and our new partners look forward to further progress during the remainder of this year to achieve the largest development project in our company’s history. And now Chad, I’d like to open the line for questions.
Operator: [Operator Instructions] Our first question comes from John Bair with Ascend Wealth Advisors.
John Bair : Good morning. Hello, Rick.
Frederick McTaggart : Hi, how are you?
John Bair : Good. I have a couple questions and then ask one or two and then get back in the queue. One question is on the – you did talk about the efficiency efforts in the Bahamas. So, my question is, it sounds like they have pretty well plugged the leak so to speak and I am wondering if that trend in reduced purchase you think will – you are kind of stabilized there and then as you mentioned, have the potential of adding new customers that maybe are getting water from well source?
Frederick McTaggart : Well, John, we actually – I think are stabilized from revenues perspective because they have committed to minimum take or pay volumes from these plant. So, they are still in some cases, taking a bit more than the guarantees from the plant and we think that the water that they are saving will ultimately be taken up by these new customers. So, there will be – we do expect and we believe that there is potential for some growth again in that market.
John Bair : Okay, that would be once, the developments – the new developments are established? Is that – am I interpreting that right? Combination of adding new existing locals with say, versus new activity?
Frederick McTaggart : Yes, our take on the prior situation was that they were finding it hard to provide reliable service because of the level of the leaks in the system. So, they have gone a long way to resolving that, connecting to the utility is much more attractive now and they have extra capacity there now to service new customers whereas before they were having problems managing demand plus the leaks.
John Bair : And I would assume there was a public relations issue as well as for reliability of water delivery, is that a fair statement?
Frederick McTaggart : I think that’s probably true.
John Bair : Okay. Okay, one quick one, given that there is some supposed – in relations with Cuba, do you see any opportunities in that market?
Frederick McTaggart : Well, yes, I mean, it’s a huge potential market. Our understanding is they do have quite a lot of naturally occurring water there. There maybe a lot of potential for companies that build infrastructure to move that water around or to improve how they get it out of the ground, but, I think desalination is probably still limited to just maybe the coastal – the keys that are separated from the mainland in Cuba. But these are typically resort areas that would need a high-quality water. So, I don’t know if I’ve answered your question, but there is some potential there. I think it will be a while before anybody is able to realize that.
John Bair : Right, okay. Well I’ve got another question, but I’ll get back in the queue.
Frederick McTaggart : Okay.
Operator: Thank you. Our next question comes from Steve Percoco with Lark Research.
Steve Percoco : Percoco, thank you. I’d like an update on the regulatory status in the Cayman Islands. The court said that, in June, that the Water Authority was your regulator, the Water Authority then sent a letter in September rejecting your arguments for an alternative to the return on investment capital model. You sent a letter in November effectively going around the Water Authority to the Ministry of Works accepting the return on invested capital model, but saying effectively that you would not negotiate with the Water Authority. You – as I understand that you want the change in the law, my concern is, it’s been five years since this process started and you are still not even at the negotiating table. Meanwhile, shareholders are at considerable risk if a regulatory regime is forced upon the company in an adverse economic environment. Why do you refused to negotiate if the Water Authority proposes a regulatory formula that hurts the share price, doesn’t that then give you the justification to argue for another regulator?
Frederick McTaggart : No, not in it, so, because there is a regulator by law and we didn’t actually intend to go around the Water Authority. We accept that they are the legal regulator. We ask the minister to accommodate one of our concerns which is the Water Authority is not impartial in this process and we’ve asked for an impartial independent, essentially referee for the negotiations. But we haven’t asked to exclude the Water Authority at all. So that maybe a misunderstanding. We are trying to be as cooperative as possible and we’ve always said that we are not going to do things precipitously that would impact our shareholders and we think that over the last five years, the company has continued to be as profitable as it has been in the past and retained our existing license structure while this matter is sorted out. And then, the prospect of them imposing in these license on us, that’s always there, but, what we are trying to do is to, I guess, see things a bit more from their perspective on the type of license that they want. But the intention is certainly not to significantly reduce the profitability of the company. We don’t think that that’s warranted in the market or generally based on the price that we charge water there now. So, it has been a long process, but, I just tell the shareholders again that we are not going to do things precipitously that damage the company. So, we will take it a very complicated issue.
Steve Percoco : I think five years is not precipitously, I think it’s long overdue to get this resolved. They sent you a letter in September saying that they were going to propose a formula and it’s been six months, okay? It seems to me, just on the surface, I obviously don’t know what’s going on behind the scenes, but your November letter would probably have stopped them in their tracks. Given that you are still not effectively accepting them as the regulator. And now, it’s been three months since you sent that letter, what makes you think that this process is going to start anytime soon? And I don’t actually like you don’t see that this is putting shareholders at considerable risk.
Frederick McTaggart : Well, Steve, the ball is in their court. It’s essentially been in their court since September of last year when they wrote us. I’d like to get it resolved probably as much as you would, but again, it has to be resolved in a favorable manner and their underlying issues that prevented us from just jumping on the negotiating – back into the negotiations with the water authority, because we’ve viewing this conflicted. So, again, I’ll say, we don’t reject them as the regulator, we are only asking for some accommodation from the government to make it more independent to make the process more independent and fair.
Steve Percoco : I’ll just make this comment. It seems to me that until you see a proposal and negotiate the proposal you can’t argue that there is substance to they are being conflicted especially when the court has said that they are your regulator.
Frederick McTaggart : That’s what I see that – I think that, you haven’t considered that they did make a proposal in June of 2010 that we actually rejected and we haven’t seen anything new from them for essentially 4.5 years. So, we’ve asked in the letter to the minister that we have the opportunity to respond to their proposal from June of 2010. So they have put something on the table which we did not view as acceptable.
David Sasnett: And I’ll just say, essentially this don’t solve for several months. It’s not a lack of refusal to negotiate on our part. We don’t know what’s happening on their side, but for some reason, they haven’t come back to us. So, I understand shareholders concern about, that this has taken five years. We believe we’ve acted prudently and in the best interest of our shareholders every step of the way. And for those out there that might think differently, well I am sorry, we believe our actions have been appropriate to this point in time and we’ve acted in the best interest of our shareholders which is always our primary purpose.
Operator: Thank you. Our next question comes from Gerry Sweeney with Roth Capital.
Gerry Sweeney : Good morning guys.
Frederick McTaggart : Hey, Gerry. How are you?
Gerry Sweeney : Doing well, thanks. Couple of questions, on the OCBVI goodwill, did you write that all the way down? Or is that an ongoing process? I didn’t quite follow that, so, it sounds like…
David Sasnett: No, Gerry there is about $2 million still sitting there.
Gerry Sweeney : Okay.
David Sasnett: And then there is – there is a possibility that OCBVI went up to take that impairment charge on those assets, if they don’t get the contract. And keep in mind, in writing this goodwill off, we are not saying they won’t get a contract.
Gerry Sweeney : No, I understand.
David Sasnett: We do some probability estimates and we include in there the possibility they will get a contract, the possibility they will not get extended it. I mean, that’s required under US GAAP and then we do an expected, based upon these probabilities with earnings, we expect the future cash flow. But just keep in mind, with each passing year, those cash flows decline. So, even as they ultimately get a contract, and they get an extension, if that happens the day the contract expires, we don’t know about it any time then we’ll have to continue to write-down that asset, because with each passed years, the expected future cash flow from the Mar Bay contract as it matures declines. It’s just an accounting mechanism. It’s part of the GAAP and we are following it. If we knew more of that, we had a seven year extension and that extension will result in part expense - impairment charge would be deferred or who knows for how long. As long as there is a contract earning and cash flows, the company’s cash flows has historically supported to value of that goodwill.
Gerry Sweeney : Okay. Switching over to Blue Hills, in the Bahamas, I understand that, the creation of asset supply, the authority over there maybe able to expand their base, you have some resort towns coming in as well. But how much is left between what you are taking now and the actual take or pay? I mean the di minimus or is there a probably little bit left there, can you quantify that at all?
Frederick McTaggart : I actually don’t have those figures in front of me. My understanding is that certain parts of the year, last year, they fell below the minimum, but on an average, it was slightly above. I can…
Gerry Sweeney : Okay, that’s – I mean, but it’s relatively close. So - and then, I think it was within WSC, are they actively now trying to acquire or encourage additional connections or is this sort of on the planning board, where that’s in development and also the resorts coming online and the ability to sort of hook into the capacity?
Frederick McTaggart : Well, I know there they’ve signed an agreement with Baha Mar to supply them water. So that’s done. That’s in process. With respect to connecting new customers, I can’t comment on that. I would hope that that would be a goal that they have. I know they talked about it in the past, but, I haven’t seen anything recently from in the press or from them on their plans to do that.
Gerry Sweeney : Okay, and then, one quick one. Do you know how much, what the water losses that now – I mean did they cut it in half, I mean this is just more of a function longer term as how many new customers they can add over time and how much water loss there still is?
Frederick McTaggart : I don’t have that information, Gerry.
Gerry Sweeney : No worries. I can follow-up with you. Okay, I’ll jump back in queue. Thanks.
Operator: Our next question comes from Hasan Doza with Water Asset.
Hasan Doza : Good morning guys. How are you?
David Sasnett: Good morning, Hasan.
Frederick McTaggart : Hey, Hasan, how are you?
Hasan Doza : Good, good. Quick question. I noticed in your 10-K that for your Mexican development spending for 2015, you expect an incremental 2 million bucks this year. So my question is, if I look at your SG&A for full year 2014, which came out to be $16.7 million should we think about an incremental $2 million on top of the $16.7 million of total SG&A you incurred in 2013?
David Sasnett: Hasan, as regard to the footnote, the SG&A you’ll see in there that we disclosed that we spent $3.7 million this year and $3.158 I think something like that million dollars in 2013 for Mexico. So, what we are saying in our 10-K is that you would eliminate the $3.7 million that appears this year, and the new amount will be $2.1 million. So that’s a $1.6 million drop in the expenses that we expect to incur next year for NSC and for the Rosarito project.
Hasan Doza : Got it, clear. Thank you.
Operator: The next question comes from Brian Novena [Ph]a private investor.
Q – Unidentified Analyst : Hi, my name is Brian Novena and I am a shareholder. I just first of all like to congratulate the company on its consecutive dividend growth. I have a couple questions. The first of which is, with such a large demand for water in California, both in terms of population growth and their agricultural production, I believe it’s the largest in the country. Why hasn’t there been more efforts to capture market space in this state and then kind of on top of that question, what is kind of the company’s strategy behind all of its retail services in, what I’ll call foreign countries, it seems that there is not too much US exposure and do you think some there could be potential concern down the road in terms of government regulations and control of operations? And then my last question, I live in California, so, I am aware of the drought situation and according to the California Water Association, in San Diego and Tijuana, all throughout California, there is mandatory water rationing during 2015. How do you see this affecting the business? Do you think revenues might take a hit because of lower demand? Or do you see this kind of being offset by the scarcity in water in the first place? Thank you.
Frederick McTaggart : Well, that’s a lot of questions, Brian. Let me – I got a lot some of them together in the answers I think from the California perspective, we certainly see a great opportunity there to do business indirectly into California. The basis of – as pursuing this Mexico project was to provide water to Mexico and also into California. We presently have letter of intent with the Otay water district which is right on the Mexican border to provide 25 to 40 million gallons per day of desalinated water from the Mexican plant. It’s likely that that would be an indirect sale. The government and the state of Baja California has indicated that it wishes to purchase all of the water from a desalination plant in Mexico and then presumably they would sell some of that into the United States, or swap water on the Colorado River through some sort of trade mechanism. So, that’s really the value proposition for the Mexican project. It’s not just core Mexico, it’s a regional solution based in Mexico. On your standpoint of – we don’t have any revenue changes in California. We don’t presently have any operations there. So, the prolonged drought creates opportunities for us and it doesn’t impact our business at the moment.
Q – Unidentified Analyst : Okay, thank you.
David Sasnett: Brian, we’d love to sell it desalt then into California. Presently, there is a plant constructed at the Carlsbad but I believe it took them 12 years to get all the permitting that’s start to build that plant. We – I personally believe and I think most of the people in our company believe that long-term, desalination will be a huge contributing factor to alleviating the problem of water shortage in California. But when the State of California is going to pull the trigger on that solution it’s then clear. So, hopefully, we’ll have a chance to build a plant actually in California in addition to the one we have in Rosarito. There also – there is the country for where they are looking at desalination. We are not opposed they’d all been doing business in the US. I would like to have a US operation to complement the things we do elsewhere in the world. We just have to have the right projects, whether it makes sense for us and one that will then capitalizes on our strengths.
Operator: [Operator Instructions] Our next question comes from Rob Faber [Ph] who is a private investor. Please go ahead Mr. Faber. Your line is muted.
Q – Unidentified Analyst : Yes, I am sorry, I am hearing, can you hear me?
Operator: We can hear you now. Thank you.
Q – Unidentified Analyst : I’m sorry. Good morning guys. I was just wondering if you could expand a little bit on the nature of the partnerships that you discussed in Mexico. I know you mentioned that you are partnering with some companies there, so just hoping to get a little bit more details, are there any equity agreements or just basically what the nature of those partnerships are? Thanks so much.
Frederick McTaggart : Yes, essentially, we’ve signed a term sheet with a group of companies and we are not in liberty to disclose any names or anything like that right now. But the term sheet we build, or it’s created a partnership to pursue the contract with the State of Baja California and there will be certain things changes in ownership structure that occur in the future if we achieve that contract. I think, David, I think, maybe you have some other comments.
David Sasnett: Yes, I just want to point out, we’ve always disclosed to everyone that this was a project that would cost somewhere in the range of $600 million to $700 million. While we have a healthy balance sheet and access to – pretty based on access to credit, we don’t have the ability to borrow or raise $600 million or $700 million ourselves. So we’ve always contemplated bringing in both an equity partner and lenders to those project and we decided now that to enhance our proposal to the state it will be beneficial for us to bring in those equity partners not only provide money, but also provide expertise and experience in Mexico. So, this is something we had contemplated doing all along. We did know if we do it at this point or financial closing decided strategically it’s best to bring in a partner now. I think this bodes well for our overall chances to leaving the project because it greatly increases our credibility for the Mexican government. And it still puts us in the same position that we always felt we would be relative to our participation in this project going forward and the incremental revenues we think we can earn from it. So, I think this is something that our investors should look or investors should look at positively.
Q – Unidentified Analyst : Thank you. Is there a point in the future where some of the terms, actually the dollar amounts, percentage of equity might be disclosed, so we can back and do an overall value of the investment?
David Sasnett: Yes, when something definitive is signed, we have binding commitments from the government and from our – and with our partners. Those documents will actually be filed one with an 8-K you take a look at them, that will be a material agreement for us. And we fully disclosed our public filings these terms.
Q – Unidentified Analyst : Great. I appreciate it. Thank you guys so much.
Frederick McTaggart : Okay Rob.
Operator: Our next question is a follow-up question from John Bair with Ascend Wealth Advisors.
John Bair: Yes, it’s actually a follow-up to the previous question there and you answered a number of the angles on my question. But one of them is, when those agreements materialize? Does the company expect to recoup some of your upfront cash costs as part of the deal?
Frederick McTaggart : Well, from the standpoint of the timing, that’s going to depend on when the government puts out – ultimately put out a tender for the project through the APP law structure. We would hope that it’s – that’s sometime this year, if we are awarded that project, then there is triggers that would allow us to – well, it allow us to recoup some of our investment in the project and it would also reduce our ownership percentage in the project at that time.
David Sasnett: The way the deal is structured and you can see – just take a look at the disclosure, the 10-K you’ll get a understanding of what could be expected. It could be – we made it very clear to our disclosures there.
John Bair: Yes, I just haven’t looked at that quite recently. And then I am assuming then to – I know that you’ve always stated the intent would be that you would have the operating – an operating contract for the project and I am assuming you would be looking for a long-term 10 type, 20 year type operating agreement? Is that correct?
Frederick McTaggart : That’s a reasonable assumption.
John Bair: Yes, okay. Very good. Thank you very much.
Frederick McTaggart : No problem.
Operator: This concludes our question and answer session. I would like to turn the conference back over to Rick McTaggart for any closing remarks.
Frederick McTaggart : I just want to thank you again for joining us today. We had some really great questions. And I look forward to speaking with you hopefully again in May to discuss our first quarter results.
Operator: Thank you sir. To access the digital replay of this conference, you may dial 1 (877) 344-7529 or 1 (412) 317-0088 beginning at 1 p.m. Eastern time today. You will be prompted to enter a conference number, which will be 10061979. Please record your name and company when prompted. The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.